Operator: Good afternoon and welcome to the OPKO Health's Second Quarter 2015 Earnings Call. Today’s presentation is being recorded. I would now like to turn the conference over to Executive Vice President of Administration, Steve Rubin. 
Steve Rubin: Thank you and good morning. Before we begin, I'd like to remind you that any statements made during this call which are historical will be considered forward-looking, and as such will be subject to risk and uncertainties which could materially affect our expected results, including without limitation the various risks described in our Annual Report on Form 10-K for the year ended December 31, 2014 and our subsequent filings with the SEC. I'd like to discuss the format for today's call. Adam Logal, our Chief Financial Officer will first talk about our financial and operating results for the quarter. Jane Hsiao, our Vice Chairman and Chief Technical Officer will then provide a brief update on our Biologic Programs. Charlie Bishop, the CEO of our Renal Division would next provide a brief update on our Rayaldee development program; followed by David Okrongly, President of our Diagnostics Division, who will provide an update of our diagnostics projects. And finally Dr. Frost will follow-up with a brief wrap-up. We do have the entire team here with us to answer any questions you might have after our remarks. And with that, I’ll turn it over to Adam Logal our CFO. Adam. 
Adam Logal: Thank you Steve and good afternoon everyone. We ended June with a cash balance of $221 million reflecting the $295 million upfront payment received from Pfizer for the hGH-CTP Global Collaboration Agreement, partially offset by cash used in our acquisition of EirGen as well as cash used in our continued investment in Research and Development during the first half of 2015. We strengthened our balance sheet during the first half of 2015 by exchanging approximately $41 million of our 30% convertible notes for shares of common stock. Both the Pfizer transaction and the convertible notes continue to have a significant impact on our results of operations for the first half of 2015. As a result of the significant increase in our share price since December 31, the fair value of the embedded derivative associated with our convertible debt increased and as a result we recorded non-cash charges in other income and expenses for the three and six months ended of approximately $70 million and $66 million respectively. Importantly, this non-cash expense is the result of our share price depreciation and with the exchange of $41 million of principal notes during 2015 future changes in our share price will have a lesser impact. Further, the remaining $46 million of principal notes continue to be convertible by the holders through September 30 as our share price exceeds the predefined conversion premium under the indentures. During the six months ended June 30, 2015 we also recorded a nonrecurring operating expense of approximately $26 million related to our hGH-CTP technology, as we license that technology out of Israel triggering a repayment obligation to the Israeli Office of the Chief Scientist. The OCS have previously funded a portion of the development of our hGH-CTP program. Further we recognize $17.7 million and $30.2 million of revenue during the three and six month periods related to the Pfizer collaboration agreement. As a reminder we are recording $295 million up-front payment as revenue on a straight line basis over the anticipated development period. Revenue during the three months ended June 30, 2015 increased approximately $19 million to $42.4 million, principally as a result of the revenue recognized in connection with the Pfizer transaction and revenue generated by EirGen post acquisition. Revenue for the first six months of 2015 increased $26.7 million to $72.5 million as a result of revenue recognized for Pfizer and EirGen, partially offset by lower revenue OPKO Health Europe as we negotiated a long term supply range with one of our customers as well as plant temporary shutdown at our OPKO Mexico manufacturing facility. The arrangement at OPKO Health Europe was completed during the first quarter and the manufacturing facility in Mexico was also brought back online during the first quarter. As a result of the prior items, including the non-cash derivative expenses and the non-recurring one time repayment to the OCS, net loss for the three months increased $17 million to $43 million and for the six months net loss increased $90 million to $160 million in comparison to the 2014 period. In addition, we continue to invest on our R&D programs and as such R&D expense increased for the three months ended June 30, 2015 by $13.3 million to $29.6 million and R&D expense for the six months ended June 30, increased by $17.8 million to $55.1 million. I would now like to turn the call over to Jane Hsiao, our Vice Chairman and CTO. Jane. 
Jane Hsiao : Thank you, Adam. I have had the pleasure of working with the OPKO Biologics team since the acquisition. I would say that I am very proud to say OPKO Biologics based in Israel is an extremely productive team. The team is working tirelessly to appraise the proprietary technologies, to extend the half-life to therapeutic peptides and proteins. The most advanced program is that once a week injection instead of once daily common in human growth hormone product. Since the beginning of this year the partnership with Pfizer has given this project a boost in building commercial success. We have an expanded and experienced the resources from Pfizer and we expect to have very favorable cost of goods structure. We have completed enrolment of the pivotal Phase 3 study for the treatment of growth hormone deficiency in adult patients. We plan to file the biological license application as soon as the data cleanup and compilation can be completed. All 52 eligible patients have competed the 12 months mandatory treatment period of the Phase 2 pediatric dose ranging study and of that over 90% of the patients have elected to continue receiving the treatment in the open level phase of the trail. Some patients even gone into the second years of treatment. OPKO and Pfizer teams are working together to develop the Optimum Global Regulatory Strategies for the U.S., Eastern and Western Europe and Asian specific countries. Recently we also consulted with PMDA to discuss registration requirements for Japan, which holds about one-third of the total market and has its own unique regulatory pathway. We expect our strong long term Phase 2 data in pediatric growth hormone deficiency patients will facilitate the development timeline in Japan. The second program is a Long Acting Factor VIIa. This is a recombinant product using the same CTP technology as that for the growth hormone product to extend the half-life of Factor VIIa. Some Hemophilia patients A or B patients who have developed antibodies to their factor replacement therapy and become unresponsive are treated with Factor VIIa, which is dominated by Novo Norodisk, NovoSeven product. The reported market size of this product is $1.2 billion to $1.6 billion a year. Our product MOD-5014, studied side by side to NovoSeven has shown the potential in anymore model studies for an on demand and prophylactic use by IV and the more importantly by Subcu. In June five postures were accepted and presented at the International Society on Thrombosis and Haemostasis Annual Meeting in Toronto, Canada. We presented the Clinical Toxicological, pharmacokinetics and pharmacology with comprehensive assessment of the safety and efficacy of our product in animals. This data set is the basis of the FDA approved IND to support its first in Human Trial of this product. We expect to dose the first patient as a Phase 2a dose escalating study as soon as the necessary IND approval and external laboratory service contracts are in place. Another product which is almost ready for first clinical study is the Long Acting Oxyntomodulin. Oxyntomodulin is a peptide hormone released from the gut after a meal. It activates both the glucagon-like peptide-1 and glucagon receptor and is known to reduce the food intake and to increase energy consumption for an effective weight loss control. The half-life or nature of such a module is in minutes, while of course modified along acting products can be administered once a week. Studies in diabetic overweight mice have demonstrated greater weight loss than the major hormone itself. We are completing the necessary toxicology and pharmacokinetic studies in animal and the first in human study has been planned. Thank you. Now Charlie. 
Charlie Bishop: Thanks Jane. Good afternoon. I’m pleased to update you on the Renal Divisions progress in brining reality to the U.S. market. OPKO submitted the new drug application for calcifediol modified-release capsules to the FDA on May 29. The proposed trade name for this product is Rayaldee. In the NDA we requested FDA approval of Rayaldee for the prevention and treatment of secondary hyperparathyroidism in patients with stage 3 or 4 chronic kidney disease and Vitamin D insufficiency. Our application is supported by data from three randomized, double-blind, placebo-controlled studies and one open-label extension study conducted in the targeted patient population. The two pivotal studies recovery by a special protocol assessment established in advance. They met all primary efficacy and safety end points. The agency informed us by telephone on July 28 that the NDA was sufficiently complete for revenue and that it had been filed. We expect to receive a written notification of NDA acceptance along with the PDUFA date in the fourth coming 74-Day letter. We anticipate receiving this letter by mid-August. Our next milestone with the FDA is the submission of a 120 safety update due on September 25. During the course of FDA review of the NDA, we are undertaking efforts to prepare for our product launch in the first half of 2016. Our plans of course will be continually adjusted in accordance with any comments received from the agency and the fourth coming PDUFA date. Assuming that the NDA has approved OPKO will launch the product in the U.S. with our own dedicated sales force targeting nephrologist and endocrinologists who care for patients with stage 3 or 4 chronic kidney disease. Before I pass the teleconference over to David Okrongly, I’d like to briefly mention that we are now discussing a final global Phase 3 trial with Fermagate, our calcium-free phosphate binder. The design of this trail will be further discussed with FDA and the selected European Regulatory Authorities with the goal of finalizing a study protocol in the first half of 2016. The initiation of the trail is planned to follow as soon as possible thereafter. David. 
David Okrongly: Thank you, Charlie. I’m going to give an update now on the diagnostics division of OPKO Health and I’ll break it down into two categories. First, I’ll give you an update on the 4Kscore, our test for predicting the risk of aggressive prostate cancer and then I’ll conclude with the Claros update, which is our finger stick whole blood point of care analyzer. During July the 4Kscore test achieved a major milestone when the 4Kscore test was included in the 2015 National Comprehensive Cancer Network Guidelines for prostate cancer early detection. The NCCN guidelines represents a transition phase for the 4Kscore test and that it is now included in one of the leading guidelines directing physicians on how to manage early detection of prostate cancer. Also very notable in the National Comprehensive Cancer Network Guidelines update is a shifting emphasis on the detection of aggressive cancer. It’s now very clearly being recognized that we want to develop Biomarker tests that will allow us to sort out the aggressive from of prostate cancer and lead behind men who have indolent forms of cancer or have no cancer at all and that plays perfectly to the message and the validation that’s been conducted on the 4Kscore test over the last 10 years and is now represented in 12 peer-reviewed publications on over 22,000 patients. Importantly in that guideline update by NCCN, the 4Kscore test is now indicated as being appropriate before both, our first prostate biopsy, that is a biopsy that might be conducted after a PSA is tested and found to be elevated. It’s also indicated for use in the repeat biopsy setting. This would be for a patient who has been found to have no cancer, no prostate cancer on an initial biopsy, but may still have other clinical symptoms such as elevated PSA or a digital rectal exam that’s abnormal. Also important in the guidelines was the highlighted superior performance of the 4Kscore test for aggressive disease. The review panel clearly reviewed and acknowledged the performance of the 4Kscore test in aggressive prostate cancer. We are very excited about this development and it’s further believed our efforts to pursue reimbursement as well as a category 1, CPT codes. The administrative code is a code that we currently have for the 4Kscore test and this became active on July 1 and shortly thereafter we began billing both Medicare and private insurance for the 4Kscore test. A category 1 CPT code would catapult us up to the very highest level of CPT code and medical evidence. That application on July 15, will be reviewed by the AMA CPT Editorial Board in October and we expect to have a favorable review of that finalized by the beginning part of 2016. As I mentioned, we’ve been billing Medicare and private insurance now for several weeks in four of our current territories and that billing program is still in its very early days and I do not have any feedback for you on that just yet. What I also would like to point out is that we as part of our ongoing efforts to seek reimbursement with both Medicare and Private insurance are conducting a Clinical Utility Study looking at how the 4Kscore test has changed clinician behavior. The positions that we are interviewing are physicians who have treated approximately 400 patients with the 4 – and used the 4Kscore test to make a treatment decision and we believe that that evidence is going to show very favorably that the 4Kscore test is influencing clinician behavior and thus will achieve the targeted savings that the 4Kscore test can show in managing patients with elevated PSA or an abnormal DRE. I’ll give an update also on where we are at with BRL, the Bio-Reference Laboratories. This acquisition should be closing in the next couple of weeks and will allow the 4Kscore test to now take advantage of the tremendous capabilities within the Bio-Reference Laboratory for both access to blood draw centers where patients can be sent by their neurologists or primary care physician, get their blood drawn and then have that sample transported directly to the Bio-Reference Laboratory facility in Elmwood Park, New Jersey. We also have a great advantage in that, the Bio-Reference contracts they have with virtually every major private insurance company across the United States. It will now be put under contract through the 4Kscore Test and our other pathology services and vice versa we can use the contracts that OPKO has that are important to BRL, particularly in Tennessee and also our National Coverage Contract and they can be listed as a place of service under that contract. So that’s one of the very important integration activities that’s going on now and we will be moving towards the informing of our private insurance contractors coming up in the next couple of weeks. I’m going to conclude the diagnostic summary with an update on Claros. As you know we are developing the PSA and testosterone diagnostic test for clinical trials and that continues according to the timelines we’ve previous announced. We are looking to do a 510(k) of testosterone in the first half of 2016 and to have a PSA filing beginning also in the first half of 2016. Clinical development of testosterone which is an assay that requires a release step of the testosterone from a binding protein in the blood is a prelude for our Vitamin D product that we are still looking to have available in time for the Rayaldee launch and reimbursement decisions that are going to be coming up for Rayaldee. So we expect to be able to have the testosterone cassette be able to be used for Rayaldee and be ready to support Rayaldee when it’s under coverage by insurance companies. With that I’ll conclude the remarks for diagnostics and I’ll turn it over to Phil Frost, our Chairman and CEO at OPKO Health.
Dr. Phillip Frost: Thank you, David. Well you’ve heard a review of the various parts of the company and its activities during the last quarter and first half. I’d like to highlight another acquisition that we made during this period and that’s the EirGen Company in Ireland. This was a company that was founded several years ago by a very talented group who worked for us at IVAX. They were talented with respect to formulation ability, manufacturing, quality and regulatory affairs, all the ingredients needed for a successful company. They also had a superb strategy and this was to focus on products that are considered high potency. The consequence of this is that among those products there tends to be very few players with each one. This means that for a high potency generic product, because there are fewer companies selling them, there is less competition and the margins tend to be higher. So this strategy is a way of achieving higher margins and profits by concentrating on a smaller group of products that we can both develop and manufacture in Ireland. I stress this, because Ireland turns out to be a very, very good place to concentrate ones efforts. It’s important because the government essentially pays for the R&D work going on there and secondly, we as others enjoy a very low tax rate in Ireland. So we plan to make this an area of future concentration so far as our developing and manufacturing activities are concerned. I’ll close by simply stating that in future quarters we hope to on an ongoing basis report better financial results and I’ll leave it there to lead into any questions that you might have.
Operator: Yes, thank you. [Operator Instructions] And our first question comes from Rohit Vanjani with Oppenheimer.
Rohit Vanjani: Hi everybody. Thanks for taking the questions. So I’m not sure this might be for Jane, but a couple of weeks back you provided updated guidance on Lagova in the adult indication noting that the study is expected to end towards the second half of 2016 and then with a regulatory submission to follow a study completion. I would think the potential launch would happen in the second half of ’17 or early 2018. I guess I always thought of the adult indication being launched in 2016 with a pediatric launch in 2018. What changed there for the timelines?
Jane Hsiao: Well with the collaboration with Pfizer it’s very important for us to look at the market opportunities and with that in mind that we look at how best to introduce the product. So from that point of view we are already thinking ahead about introducing the pen and things like that. That will be one of the considerations. Another thing is the original enrollment for the Phase 3 adult study, it was a challenge. We actually pulled through in just completing the order enrollment just recently. So based on the finishing 12 month study from the last patient enrolled to having the data clean up and preparing the DRA submission, indeed yes, we are behind from our original projection.
Rohit Vanjani: Okay. Is the pediatric indication, are you still planning to launch that for 2018 so they’ll be together side by side.
Jane Hsiao: No, the pediatric study, we’re looking to – we are still talking to the regulatory authorities, so the protocol won’t be finalized until maybe the best and it will be the beginning of next year. So once we have the protocol and that’s really getting all the study sites online and getting the study to initiate, so we’re looking at maybe more of a not a 2018 timeline, more like a 2019 timeline.
Rohit Vanjani: How long will the study take? I’m sorry, so you’ll – the protocol will be finalized beginning first half ’16 and the study will start then as a two year study.
Jane Hsiao: Basically it’s a one year study and as you know the enrollment itself will take somewhere from 12 to 18 months for a pivotal study, because it’s a open indication and each site basically can only produce a couple of the e-patient that qualify to enter into the trial so that – and likely the other indication, this is particularly challenging and we have to have many, many, many sites to first qualify and get them to sign up. So even though we want to do it faster, but unfortunately that’s not the case even though we will try our best.
Rohit Vanjani: Yes, I meant a two year timeline for the study including enrollment.
Jane Hsiao: Right, yes.
Rohit Vanjani: Okay. And so do you see the launch of Lagova as being in line with some of the other anticipated competitive products. Should they get approval or is it kind of now behind maybe some of those other competitors?
Jane Hsiao: I think from the data we have seen with our competitors, we have the most comprehensive long term safety and efficacy data. So I’m very comfortable with what we have and I think at the end of the day this product should be good. Should be very competitive.
Rohit Vanjani: And then I know it’s still fairly early and well ahead of the Lagova launch, but what does it mean to you if anything that only Lilly’s Humatrope and Novo Norodisk, Norditropin were left on CVS’s preferred formula for 2016 and only Nutropin and Omnitrope, Saizen and Xamarin [ph] were left on express strips preferred formula for 2016 and the Pfizer product was left off I guess. 
Jane Hsiao : That I really cannot comment on that and not on the side of the commercial, so sorry.
Rohit Vanjani: Okay. And then Dave for Claros one I just wanted to be clear about the timeline. So its first half ’16 launch of testosterone and PSA and then when would the Vitamin D potentially launch. 
David Okrongly : Sorry Rohit, first half is our filing – it’s going to be our filing date for testosterone for both PSA and for testosterone. 
Rohit Vanjani : Okay and so and then it will be a three month timeline from that filing. 
David Okrongly : That’s you know hard to predict, but we assume three to six months typically with the filing for diagnostic. 
Rohit Vanjani : Okay, so launch maybe second half ’16 and then for vitamin D I’m sorry.
David Okrongly : For vitamin D we are really looking to call it. We are going to learn from testosterone exactly how to do the vitamin D. We think that there is great value in the special cassette for testosterone. We would look to do that filing by the end of 2016 and that would kind of line us up with when Rayaldee, we expect Rayaldee to be on the formulary. 
Rohit Vanjani: Okay, and it’s the same three to six months maybe anticipated filing timeline. I know that’s a little bit… 
David Okrongly : These should go a little quicker once the first one goes through, and vitamin D is a straightforward 510(k) so I would be looking – I would expecting more of the three month time frame there. 
Q - Rohit Vanjani: Okay. 
Jane Hsiao: David, this is Jane. I have different estimate you do in terms of FDA review time, three to six months. Bear in mind with Claros 1, this device itself is the first time presented to FDA. My personal opinion is its going to take longer than three to six months. 
Rohit Vanjani: Okay. And then in – and this might be for Adam. So in the S-4, the BRLI documents you provided, managements revenue projections for 2015 to 2019, what’s included in that 2016 to 2018 timeframe for Lagova if the adult and pediatric indication got pushed out. 
Adam Logal: Yes, so really as you would imagine for Lagova we are projecting kind of in connecting with the timelines that Jane had just walked through. 
Rohit Vanjani: So whatever those projections were in that S-4 maybe some of that would have to come out because that had the original anticipated..
Adam Logal: I had, yes I think it had the revised or updated timelines in that already.
Rohit Vanjani: Okay, so those projections are still accurate? 
Adam Logal: Yes, right. Yes and as we disclosed they are not necessarily risk adjusted or probability adjusted for that. 
Rohit Vanjani: Okay. And then, Dave yes for – just going back to Dave, I’m sorry, for 4Kscore, what would that mean? How many territories are you in first of all? You said that you begun billing to four territories. How many total territories are you in and have you been paid in the couple of weeks that you billed.
David Okrongly : Well, I think what we are going to do Rohit is just, this whole discussion about the payment yet, because it’s still very early stage and we are having discussions actuality right now. The four territories that we were billing in are four of the 12 territories. We looked to the Untied States that was really requiring about 25 different sales reps. So we are representative in just a very small portion right now of the country with our billing. But I will say that the physicians that we are working with are very excited about the fact that they can now offer this to their patients with the expectation that reimbursement is going to be on the horizon and they are very, very happy to partner with us on pursuing the reimbursement should those rejections come. 
Rohit Vanjani: And then just my last question, what would that mean kind of practically if you get that category one, when did you say in October is when they are going to term that. 
David Okrongly : Yes, so the process is fairly long, but it’s kind of an essential follow-on to our administrative quote. So the review process is October for final decision by the AMA CPT Editorial Board, the code, we would get approval or we get indications that it’s been approved sometime in December, or January and then that would become active in 2017. That is about the same time that other regulations come into play or other law comes into plan, which is PAMA. We don’t know if PAMA is going to be delayed or not but that also sort of makes these advance libratory diagnostic test like the 4Kscore test kind of fall under an automatic payment for Medicare and then gets adjusted down the road by what the private payers are paying for it. So we wanted to do this because we think it’s an important designation. It puts it up there in a standard of care kind of categorization. It’s not essential though to get paid for the test. 
Rohit Vanjani: Okay. So, sorry just to be clear. It’s an automatic payment from Medicare. It would almost be a virtual automatic from private’s too. It’s just kind of whatever the negotiated rate is?
David Okrongly : Yes, there is nothing automatic about this, but typically category one, CPT codes would be paid by Medicare. But we expect that we are going to get paid by Medicare even without having the category one. Just that it’s something that we now have the guidelines evidence to put in there and we also have gotten additional publications supporting the use of the test. So we think it actually quite exceeds the requirements for Category one. 
Rohit Vanjani: Okay. Great thanks for taking the questions. I appreciate it. 
Operator: [Operator Instructions]. We’ll go next to Kevin DeGeeter with Ladenburg. 
Kevin DeGeeter: Hey, good afternoon. A few questions, let’s go ahead and get Charlie in here. Charlie, do you expect there be a FDA Advisory Panel Meeting for Rayaldee? 
Charles Bishop: Hi Kevin. No I don’t. To-date to the best of my knowledge FDA has not used an advisory panel for a drug that’s in a the vitamin D pharmacology class. 
Kevin DeGeeter: Terrific and with regard to pre-commercialization, when should we look for the initial hiring of a sales force and perhaps some pharmaco-economic studies being published, now that they are relatively standard pre-commercialization activity. 
Charles Bishop: We will see activities like these all through the NDA review. We will start our hiring of the sales force effort in Q4. I expect that sales reps will be employed in the beginning of Q1. Publications you are going to see coming out over the entire period and of course after approval, should be approved. 
Kevin DeGeeter: Great, and then just kind of returning to Lagova for a moment. As we think about the timeline discussed for the pediatric Phase 3 and potential approval, does this planning process allow for the transition of the manufacturing over to Pfizer prior to initiation of the Phase 3 or do you anticipate using material from the OPKO Israel, [indiscernible] and protocols and then subsequent a bridging device therefore following the Phase 3. 
Jane Hsiao : Now Kevin, as we speak this transition process is ongoing from day one of the collaboration. 
Kevin DeGeeter: So your anticipation at this point is for the pediatric study that we will be able to use product manufactured at the Pfizer facility and thus not need to do bridging. Is that correct?
Jane Hsiao : No, there will still be bridging because our Phase 2 is from a different site. 
Kevin DeGeeter: Okay, that’s helpful. And then just with regard to the Factor Seven program, when is the realistic timeline to provide, to get an update with regard to your just pharmacokinetics for that product. 
Jane Hsiao : You are talking about clinical trial? 
Kevin DeGeeter: Clinical trial, yes. 
Jane Hsiao : Well, we have the IND approved. We expect the first in patient as I mentioned and we are waiting and working on getting the IRV approval and the laboratory contract in place. So we are looking in the next few months time. 
Kevin DeGeeter: Okay, great and then maybe just one with regard to – for Dave on the Claros platform. Can you just kind of walk us through from a development standpoint what the gating factor is for the vitamin D tests sort of are at this point? Is it more sort of a regulatory component of getting the testosterone cassette through FDA as part of the initial review? Are there technical considerations with regard to the time to deal with the binding protein that still need to be addressed? 
David Okrongly: Vitamin D is a challenging test for all manufactures and testosterone is really our entree into this world of immunodiagnostics that require release steps and with the bandwidth we have here in development, we are really focused on testosterone to get that right, and then we are going to have resources that are freed up to now take what we’ve learnt about the testosterone program and apply it to Vitamin D. I think the successful testosterone program bodes very well for Vitamin D. 
Kevin DeGeeter: Okay, great. I appreciate the clarity, thanks so much. 
Operator: And this concludes the Q&A section of our call. I’d now like to turn the call back to Dr. Frost for closing remarks. 
Dr. Phillip Frost: I just wanted to thank you all for attending and participating and we look forward to being together with you in a few months. Bye now.